Operator: Greetings! And welcome to the PENN Entertainment First Quarter 2023 Results Conference Call. During the presentation all participants will be in the listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions].  I would now like to turn the conference over to Mr. Joe Jaffoni, Investor Relations. Please go ahead.
Joe Jaffoni: Thanks, Frank. Good morning everyone and thank you for joining PENN Entertainment’s 2023 first quarter conference call. We’ll get to management’s presentation and comments momentarily, as well as your questions and answers. During the Q&A we ask everyone to please limit themselves to one question and one follow-up.  Now, we review the Safe Harbor disclosure. In addition to historical facts or statements of current conditions, today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which involve risks and uncertainties. These statements can be identified by the use of forward-looking terminology such as expects, believes, estimates, projects, intends, plans, seeks, may, will, should or anticipates, or the negative or other variations of these or similar words, or by discussion of future events, strategies or risks and uncertainties, including future plans, strategies, performance, developments, acquisitions, capital expenditures and operating results. Such forward-looking statements reflect the company's current expectations and beliefs, but are not guarantees of future performance. As such, actual results may vary materially from expectations.  The risks and uncertainties associated with the forward-looking statements are described in today's news announcement and the company's filings with the Securities and Exchange Commission, including the company's reports on Form 10-K and Form 10-Q. PENN Entertainment assumes no obligation to publicly update or revise any forward-looking statements.  Today's call and webcast will include non-GAAP financial measures within the meaning of SEC Regulation G. When required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today's press release, as well as on the company's website. With that, it’s now my pleasure to turn the call over to the company’s CEO, Jay Snowden. Jay, please go ahead. .
Jay Snowden: Thanks, Joe. Good morning, everyone. I have here with me in Wyomissing, our CFO, Felicia Hendrix and our Head of Operations, Todd George, as well as other members of my executive team who can help answer questions that you may have during Q&A. As for the first time as an official member of our PENN family, we're also joined by Erika Ayers, CEO of Barstool Sports. As you know, we completed our acquisition of Barstool on February 17, and our integration efforts to-date have gone as planned, but more on that in a moment. First, we're pleased to report that PENN delivered another solid quarter with consistent retail performance across most of our portfolio. Our properties prove to be more resilient than initially anticipated, given the increased supply in a few markets and the ongoing uncertain macroeconomic environment.  Turning to Slide 4 in our investor presentation, PENN generated first quarter revenues of $1.67 billion and adjusted EBITDAR of $478.2 million, with strong performance in our Northeast segment helping to offset softer year-over-year results in the South.  As you'll see on Slide 5 and 6, our retail EBITDAR margins were negatively impacted by approximately 100 basis points due to the regional shift in our gaming revenues year-over-year to the Northeast, which has a higher blended tax rate of approximately 42% versus the South, which is approximately 22%. And to a lesser extent, the settlement of certain property litigation matters.  Looking beyond the first quarter, April really was a story of two halves. We started the month off slowly with the Easter weekend, but finished strong in the final two weeks, including having our Number 1 company-wide slot volume weekend of the year so far in the last weekend of April.  Given our Q1 performance combined with current trends, we are increasing our prior revenue guidance for the year to reflect the acquisition of Barstool Sports, while maintaining our current adjusted EBITDAR guidance. Felicia will be providing more color on our guidance in a few minutes. Turning to Slide 9, we generated over 350,000 new signups this quarter for our industry leading customer loyalty program, which is a 13% increase year-over-year. 63% of our Q1 database growth came from our online offerings. Notably, in Q1 we saw the strongest growth rates in our 65-plus year old age segment and rated theoretical revenue. These guests appear to be returning to more normal pre-COVID behavior of late and are responding well to our added amenities and continued improvements in our non-gaming offerings. At the same time, the 21 to 44 year old age demographic was stable in Q1 year-over-year after very strong growth throughout 2021 and 2022 and continues to grow significantly when compared to 2019. This age segment has grown from 13% of total rated theoretical in Q1’19 to 18.5% in Q1’23. Our VIP Play also remains strong in Q1 with year-over-year increase in both guest count and frequency of visitations.  The positive momentum in our database comes at a perfect time as we recently launched PENN Play, our enhanced and rebranded customer loyalty program, which is designed to help better align all of our brands under the PENN Entertainment umbrella and create a more seamless omni-channel experience.  Some of the new perks include the ability for day-one customers to begin immediately earning meaningful rewards just by signing up. In addition, members can now earn loyalty points across all of our business verticals, interactive, as well as retail gaming and [audio gap] and in marketplace, featuring popular retailers where they can redeem gifts and earn tier points and PENN cash on everyday items. Members also have access to entertainment experiences with PENN partner brands including Live Nation and Choice Hotels.  PENN Play is supported by our industry leading 3C’s technology, which we've talked about before and which is currently deployed at 21 of our properties, collectively representing 70% of our retail EBITDAR. We've grown our total PENN Wallet customers to 195,000 and received $104 million in total PENN deposits as of the end of the first quarter. As we've emphasized in the past, those guests who use the digital wallet demonstrate superior loyalty through increased visitation, time on device and total theoretical.  And as you'll see on Slide 11, our effective cross-marketing efforts, combined with our ability to deliver a seamless best-in-class customer experience has led to a significant increase in guests who engage with us across multiple channels, which is the key to our future growth. Our interactive segment saw revenue improvement during the first quarter, driven in part by our acquisition of Barstool Sports, as well as our recent Sportsbook launches, including Ohio and Massachusetts. In addition, as highlighted on Slide 17 and 18, we're continuing to generate impressive results from theScore Bet and iCasino in Ontario, where we're live with our fully-owned best-in-class tech stack, which has helped generate record gross revenues from sports betting in March and six-month retention rates that are 118% higher than the U.S.  On the iCasino side in Ontario, we had our ninth consecutive record month for GGR through March, and 26% higher online sports betting to iCasino cross-sell than in the U.S., which we attribute in large part to our in-house promotional engine. Our success in Ontario provides us with a blueprint for improved performance for the Barstool Sportsbook and Casino after we complete our migration to this platform in July.  Having full control of our product roadmap in the U.S. will enable us to connect with our customers on a more personalized level and quickly add new features in betting markets to the Barstool Sportsbook, while also enhancing our iCasino products with new content and bonus mechanics. In addition with an improved customer experience post migration, we will be well positioned to drive stronger loyalty and retention, while offering seamless crossplay in our omni-channel ecosystem. As I mentioned at the outset of our call, our integration efforts with Barstool Sports thus far has been going very smoothly, and we've enjoyed exploring new opportunities for growth across numerous verticals. On the media side, Barstool demonstrated strong audience and viewership growth in the first quarter, achieving record cross-platform views, up more than 40% from the prior year and growing more than 60% in both YouTube subscribers and TikTok followers. During the quarter, Barstool Golf’s new partnership with the PGA tour also led to co-brand and merchandise with the players in waste management tournaments. Meanwhile, theScore’s mobile business is also delivering strong results in both revenue and engagement metrics, with total user sessions up 22% year-over-year. theScore’s award winning Digital App, Media App is providing its highly engaged audience with up-to-date scores, news, community chat features and betting lines, proving to be a perfect second-screen for watching live sports and another strong acquisition funnel for our retail and digital offerings. And with that, I'll now turn it over to Felicia.
Felicia Hendrix : Thanks, Jay. We reported another solid quarter. Our retail properties generated adjusted EBITDAR of $511.2 million and adjusted EBITDAR margin of 35.5%. The combination of a stronger mix of revenues from our high-tax geographic segments, combined with the settlement of certain property litigation matters, created a headwind of roughly 100 basis points to the first quarter ‘23 adjusted retail EBITDAR margin. Our interactive segment EBITDAR results of a loss of $5.7 million reflects our January 1 sports betting launch in Ohio, our March 10 launch in Massachusetts, and low-holds in January and February. Roughly half of the loss was due to low-holds and half was attributable to Barstool Sports due to seasonality in the sports calendar. With the acquisition of 100% of Barstool Sports on February 17, we now record 100% of Barstool Sports revenue and EBITDAR in our interactive segment. As we show on Slide 7 of our slide deck, our total first quarter ‘23 revenues include $28.2 million from Barstool Sports post acquisition. As a reminder, previously with our 36% interest in Barstool Sports, we did not record any Barstool revenues on our P&L and only recorded our portion of Barstool's net income or loss, including adjustments to our interactive segment adjusted EBITDAR one quarter in a year. I'd like to take a moment to talk about the cadence of Barstool Sports revenues, as their business media is obviously different from gaming. The first quarter is Barstool's weakest quarter given that Ad Sales start the year soft, and the third and fourth quarters are the strongest quarters due to the ramp of Ad Sales as well as the Sports Calendar. So as you think about modeling Barstool, I would keep this cadence in mind. Now regarding overall company guidance, our new revenue range is $6.37 billion to $6.81 billion, up from the prior $6.15 billion to $6.58 billion, and assumes revenues of roughly $220 million to $230 million from Barstool for the year from the time of the 100% acquisition on February 17. On a full year standalone basis, we expect Barstool to generate 2023 revenues of approximately $250 million. Regarding EBITDA, our 2023 guidance of $1.875 billion to $2 billion is unchanged given first quarter performance and our expectations for Barstool Sports EBITDA to be breakeven for the year. Our land-based Casino outlook continues to take into consideration new competition in Nebraska, Kentucky and Lake Charles and ongoing competition in Chicago Lands, and also continues to imply a retail EBITDA margin of approximately 36%, given the competition, gaming tax mix and the economy. For our interactive segment, we expect the fourth quarter to be profitable, while the second and third quarters should look very similar to each other. Given the like sports calendar build up to our migration in the second quarter and our third quarter ramp into football season on our new technology, the losses in the second and third quarter should be greater than the losses we reported in our interactive segment for the first quarter, with the fourth quarter more than offsetting the year-to-date cumulative losses from the first through third quarters. Now, onto the numbers. Corporate expense in the first quarter inclusive of cash settled stock-based awards was $26.3 million. Cash payments to our REIT Landlords was $233.2 million; cash taxes were $1.1 million and cash interest on traditional debt was $46.4 million. Total CapEx was $63.2 million of which $9.2 million was project CapEx, mostly associated with our four new development projects. Our fully diluted weighted average common shares outstanding as of March 31, 2023 was $169.5 million, which reflects $2.4 million shares issued for the purchase of Barstool Sports. There are a few additional items on our P&L that I'd like to call out, the details of which you will find in our 10-Q filed later today.  For the quarter, we reported again on the Barstool Sports acquisition of $83.4 million, reflecting an adjustment to fair market value. We also reported a gain on REIT transactions of $500.8 million, which reflects a net benefit to our balance sheet following the amended and restated PENN Master Lease and the subsequent lease reclassifications associated with our four new growth projects.  You’ll likely notice the impact of the amended and restated PENN Master Lease on our income statement. The majority of the year-over-year increase in G&A, all of the year-over-year decrease in D&A and the majority of the decline in interest expense are all due to the lease reclassifications. Importantly, none of these changes affect our cash rent payments to GLPI or VICI.  To further help you with your modeling for 2023, we expect ’23 corporate expense of roughly $105 million, inclusive of our cash settled stock based awards. Total CapEx for 2023 and all of its components is in line with our prior guidance of $388 million net of insurance proceeds.  For cash interest expense, we forecast $133 million for the full year 2023 after roughly $30 million of interest income. Cash taxes will be roughly $155 million for full year 2023 and our weighted average fully diluted common share counts for ‘23 assuming no further share repurchases is projected to be $169.1 million. We repurchased $1.6 million shares in the first quarter for $50 million, at an average price of $30.36 per share. Subsequence to quarter end we repurchased an incremental 647,000 for $19 million or $29.21 per share. We have $80 million remaining under our February ’22 authorization and $750 million remaining under our December ‘22 authorization. In the first quarter we ended the year with $2.3 billion in liquidity, inclusive of $1.3 billion in cash and cash equivalents. Traditional net debt at the end of the quarter was $1.4 billion, an increase of roughly $300 million from December 31, 2022 due to a lower cash balance reflecting a net cash payment of approximately $315 million for the acquisition of Barstool and recent activity under our share repurchased program. We ended the quarter with lease adjusted net leverage of 4.6x compared to 4.4x on December 31, 2022. 85% of our debt is fixed rate if you include our leases, and our nearest debt maturity is in 2026. We expect our least adjusted net leverage to end the year at roughly 4.5x.  And with that, I'll turn it back to Jay.
Jay Snowden: Thanks Felicia. In closing, I want to call special attention to our 2022 Corporate Social Responsibility Report, which was published on April 25, and is available for download on our website.  I'm really proud of how much our ESG initiatives have grown over the last two years since we had issued our first report. I want to thank the members of our ESG and Diversity Committees, as well as our Boards Nominating and Governance Committee, which helps to oversee and guide our efforts and all of our property and interactive leadership teams across the country for their continued support of our ESG journey. Slide 22 detailed some of our most recent activities including holding numerous events to drive open and meaningful conversation around DE&I, providing disaster relief to those affected by tornadoes in Mississippi and Barstool’s efforts to help raise awareness for mental health issues on college campuses.  So before I turn it over to the operator, I just wanted to extend a giant thank you to all of our retail Casino interactive and media team members for continuing to give us 110% every day, and provide best-in-class service and experiences to our customers, guests and fans across North America.  And with that Frank, I'll turn it back over to you to open it up for questions. 
Operator: Thank you. [Operator Instructions]. Our first question comes from Barry Jonas with Truist Securities. Please proceed.
Barry Jonas : Hey guys! Last quarter you noted the midpoint of EBITDA guidance could be conservative, potential upside for earlier trends held. Do you still feel that way and should Interactive still total to about a positive $25 million for the year. Thanks.
Jay Snowden: Hey Barry! Good morning. I would say no change to how we felt when we had our call in February. It's still very early in the year, so it really depends on the macro and your guests and speculation around what's going to be the environment three months or six months from now. It's probably better than mine or as good as any.  So we’re – I think it's too early in the year to consider doing something like that. I would just highlight what we said earlier during the prepared remarks in terms of our core retail Casino businesses and momentum. We had our strongest slot volume weekend of the year, the last weekend of April after a relatively slow start around Easter, so it’s really, it's hard to pay.  We talked about it a lot internally and you go through these pockets of two or three weeks where trends start to soften up and then they come back strong and we're still going through that real time. As of right now, we're feeling really good about the volumes and customer trends and behavior, but I would say too early in the year and yes, is the answer to your question on Interactive. 
Operator: Our next question comes from a Joe Greff with JPMorgan. Please proceed. 
Omer Sander. : Hey, good morning. It's Omar Sander on for Joe. You mentioned in the past that you're likely to reinvest more or increase your marketing and get more active in promos and your digital business through 2024 as your competitors likely ratchet down those activities, and this is the reason why the arc of ramp and profitability may look different from PENN than your OSB and iGaming gaming peers and the hockey stick shaped profit growth will be more in ‘25 and beyond.  Can you please talk about how you're presently thinking about this and what directionally this might look like in ‘24 and ‘25 relative to 2023 digital profitability? 
Jay Snowden: Hey Omar, great question. And I would say that your summary is consistent with how we're thinking about things. It's a little too early to get into a detailed discussion around what that stick is going to look like in ‘24 versus ‘25.  I would say that we're very encouraged by the products based on our trends in Ontario. We shared a lot of stats around retention and the success of our promotional engine, the momentum we have in not just online sports betting, but importantly we continue to set new records every month in online casino in Ontario. So we're feeling really good about what’s bringing that product to the U.S. and that technology stack is going to allow us to do much better than we do today here in the U.S. I mean, you have to recall that we really had kind of a frozen product for the last six to nine months and it'll continue to be frozen until we migrate in July.  Everything's on track for that migration. Benjie Levy and our team had the score and PENN Interactive have been doing a great job getting ready for July. Everything's on track and I would say more to common terms of how we're thinking about what football season this year and then going into 2024 what that looks like. But I think you're right about, we have a great product. We're going to invest in that product and make sure that people know we've got a brand new product that we believe is going to be as good if not better than most everything out there, and you can't just launch a product without supporting it from a marketing standpoint.  So we will do that and I think 2025 obviously will be really important for a year and then you'll start to see the EBITDAR growth really start to make a different as we report numbers on a quarterly and annual basis. 
Omer Sander. : Great, thanks. And then a follow-up to that. How do you think about the profitability in Barstool Sports in 2024? What drives the improved profitability versus the top-line growth? How profitability will sort of be different going forward? In short, what's the bullet case versus the base case?
Jay Snowden: Yeah, sure. Now Erika, feel free to jump in. I'll just make a couple of comments on that. We provided this morning revenue cadence throughout the year of how things will likely play out from a quarter-to-quarter basis here in 2023. You should assume that from a seasonal perspective or seasonality perspective, that would look the same in 2024 and we're assuming roughly breakeven here in 2023. We have and will continue to make investments in top talent as well as new potential business verticals for us, of which we're exploring a number of with Barstool Sports now.  So I don't want to get into a 2024 discussion around Barstool Sports and guidance. We'll do that at the right time, more toward the end of the year. As we sit here today, I think you should continue to see revenue growth, because we've been showing strong revenue growth every year.  As a reminder, Barstool Sports revenues have more than doubled since we made our initial investment three years ago and 2023 is going to show a nice growth on 2022. We'd expect to see that in 2024 as well. But with regard to 2024 and some of the things that we're working on and are excited about, Erika, I'll hand it over to you to make a few comments.
Erika Ayers: Sure. So when I look at this quarter in particular, we had record growth. So we did $19 billion cross-platform video views, nearly six of those were original content. When you think about the future, our vision is to monetize those impressions fully. We're beating our peers in terms of our year-over-year revenue growth and our audience continues to grow, and we continue to grow on multiple platforms. So being sure that we maximize that with a diverse revenue set will continue to be our priority and then we'll obviously get more efficient about how and where we do it.
Operator: Our next question comes from Carlo Santarelli with Deutsche Bank. Please proceed.
Carlo Santarelli: Hey! Thanks. Good morning, everyone. Jay, Felicia, when you guys think about kind of the segments in the first quarter where you saw revenue growth, namely kind of the Northeast and the Midwest, and you look at the flow-through and obviously with the Pennsylvania growth that you guys saw and the tax rate there, it's understandable. But you're also in both segments lapping periods where clearly more employment came back on, more amenities came back on, etc. and staffing levels were higher. When do we start to see over the course of this year flow-through start to normalize to what you guys have experienced in the past in those regions?
Jay Snowden: I'll let Todd answer that one, Carlo. It's a good question.
Todd George: Hey Carlo! So I think you're kind of seeing it now and I think what had been happening with some of the expense creep, there was some inflationary pressure in there. But I think what we're seeing is that starting to moderate, more kind of muted growth in there. And then as we've added the amenities back, we've been more strategic than we were. And you still look at 2019 and what we are flowing through then, compared to what we're flowing through now, and we're still showing tremendous improvement.  As we start looking at our models, our playbook, we're more strategic in our offerings. We're trying to avoid the entitlement programs that were there in the past, and the offerings that were there in the past that really didn't add a tremendous amount of value. So I think what we're seeing, especially February-March timeframe, starting to see what will be normalized as we go forward.  There's still obviously going to be seasonality in some of the different regions. But that growth coming from the lower segments compared to 2019 and finally starting to see the older demographics come back, it's feeling more like we can start looking to traditional trends in this area.
Jay Snowden: I would just add one thing to Todd's comments, which we hit a little bit in the prepared remarks and the earnings release. And you've noted this Carlo, most have, that there was some new supply that entered the market over the course of the last, call it six to 12 months, between Blackhawk, Council Bluffs, obviously Lake Charles with the Horseshoe opening there.  We've been pleasantly surprised. We had estimates kind of worst case, base case, best case, in terms of what the impact would be and I would say that we've held up better in most all of those markets with new supply. Todd and our team of regional executives and general managers in those markets have done a great job really focusing on the customers that are of highest value and that we have very strong long-term relationships with. So that continues to be a good story and you can see that on the revenue growth in terms of being ahead of where I think a lot of us estimated we would come in in Q1.  Maybe a little bit less so for this quarter on the earnings for all the reasons that we've covered and making some additional reinvestment at the VIP and strong core player level in some of those key markets. But I agree with everything Todd said, and you're starting to see things settle out here.  This is probably, I would say maybe April of this year should be the last time that we're really talking about noise on a year-over-year basis. I think for the first four or five months of this year, you probably still want to compare to 2019 to see what the trends really look and feel like, because last year Jan, Feb you had softness between weather and Omicron hangover, and then you had pent-up demand in March, April and so those year-over-year comps look a little odd, but I think April is a good example of. You'll want to look at it versus ‘19 also. Once we get to May, certainly June, I think you can just start looking finally year-over-year and going forward, that'll be the case.
Carlo Santarelli: Great. Thanks Todd and thank you Jay. Jay, one more follow-up, and you kind of gave a little bit of a prelude to the question I'm about to ask. But I think if you just look at the four regions year-over-year, EBITDA is down about 3%. Obviously the mix of revenue and the tax impact that that has was a factor. But when you isolate the assets that did not see year-over-year competition or said differently, how much of that, that year-over-year stemmed from some of the competitive impacts that you guys mentioned?
Jay Snowden: Yeah. I mean, and Todd feel free to jump in here. I guess I would answer it this way Carlo, that as you look at our portfolio of properties market-by-market and asset by asset, we have some that are showing very strong growth on the top line, bottom line and even margins, despite how strong the margins were last year.  And then you've got some offsets in some markets where you've got new supply or you've got assets that are more tired, some of which we're addressing obviously, like the two in Illinois, Joliet and Aurora. So it's a bit of a mixed bag, but certainly when you look at markets like Ohio and Missouri, it's interesting, because even though we are down year-over-year, and I always stress year-over-year in the South, if you look at our results region-by-region compared to 2019, the South region is still showing the strongest results from a top line and bottom line perspective of all of the regions. So, it's down a little bit. There's some noise and pent-up demand and whatever that was in there last year, but we feel good about the trends that we're seeing across most of the portfolio, with the exception of some new supply. Todd, feel free to jump in with anything.
Todd George: Yeah. The only thing I'd add Carlo, that South segment, yes, it's down year-over-year. But it was such an amazing quarter last year. So it's still an amazing quarter this year, just comparatively speaking, it's down slightly. And then maybe a little more color on the new competition.  What we're seeing is, traditionally when new competition had come into a market, it really came in very aggressive and they were trying to get people to come over and kick the tires. But I think what we're seeing is a more rational approach, trying to come out of the gate very responsibly. So it's led to a really good competitive environment in all the markets that we're seeing. And Jay and I and others were recently traveling around, viewing our own properties, but also some of the competition. It's well thought out; it's well done and the goal will be that they'll continue to grow the overall market and grow the overall pie and we'll hold on to our share.
Operator: Our next question comes from Shaun Kelley with Bank of America. Please proceed.
Shaun Kelley : Hi! Good morning, everyone. Thanks for taking my questions. Jay, I just wanted to start with the younger demographic. So kind of going back to the slide deck, I think you pointed out there that in the lowest demographic cohort things actually did slow a little bit year-on-year. How would you characterize that? I think broadly speaking you're still up a lot from where we were in ‘19. Is this just a little bit of behavioral normalization? What are your people on the ground telling you about that change?
Jay Snowden: Yeah, I think Shaun, another good question. I think it's probably more of a last year dynamic than a this year dynamic. We're not hearing or seeing anything from our folks on the ground telling us that things have changed and the point that you made about what these aged demographics look like versus 2019 I think is really important. When you're looking at it versus 2019 in Q1, that 21 to 34 year old age segment is still up 76% versus ’19. The 35 to 44 year old segment is up 51% versus ’19; 45 to 54 is up 38% compared to ’19; and 55 to 64 is up 12% and then you have a decline of 13% at 65 plus.  So we feel really good about the mix and we've been trying to answer, because we never had a great answer on why is that 65 plus filled down and when is it going to normalize and return. And I'm not sure that you get back to flat there on a versus ‘19 basis, just because some of those older segments were your most frequent visitors on buffets and things that we're not offering anymore.  So I don't know that we should set the target at getting back to breakeven versus ’19. But I think getting it from 13% down to a single digit number, given that we're starting to see some more sort of pre-pandemic visitation pattern behavior return right now I think is probably a good goal, and if we can keep these other segments continuing to grow with such strong growth versus ’19.  But even if we have a small hiccup in this current quarter of down 5% versus last year, growth in all of the other segments obviously more than offset that and we've been adding so many new amenities that I think appeal to all of the eight demographics, but in particular the younger. Todd and team have done a great job figuring that out and we've seen a ton of success as we've shared every quarter for the last couple of years.
Todd George: Yeah Sean, just a couple of other ads and sorry to throw more percentages at you, but even at younger demographic, much of the growth from 2019 is coming from the value on a per trip basis. So that alone is up over 51% for that 21 to 44 segment. And then even on the 55 plus, it's maybe fewer trips, but we are seeing them play at a higher level when they come in.  And then Jay and I and Felicia and others were talking about this last week; a lot of that younger demographic comes back in during the calendar spring and summer months when we have outdoor events and outdoor concerts and things like that, to kind of drive the overall experience. So we're very comfortable with where we're at now, as well as the programming we have for the upcoming months.
Shaun Kelley : I appreciate all the color. And as my follow-up, maybe turning to Barstool and Erika a little bit, obviously there's a pretty big event as it related to social media and the Barstool team last night. I was just wondering if you could comment on that. Maybe for Jay, do you expect any sort of financial impact or fall out from that? And for Erika, more of the cultural question, how do you protect kind of the content and the talent acquisition side as you start to grow into this bigger platform with 10, with obviously a different set of kind of cultural guardrails than maybe you had in the past.
A - Jay Snowden: Yeah, I'll hit that first and then Erika can jump in onto the second part of your question summer. We're obviously not commenting on personnel issues on the call or publicly; something that happened inside the company that we dealt with.  We felt like we dealt with it appropriately, and I would also say that you've been following us and the relationship and I think the public markets and financial community has gotten to know Barstool pretty well over the last three plus years and there's going to be some drama sometimes.  There's going to be some things that pop up here and there and we'll manage through those as we always have. It's one of the strongest sports media brands certainly in the U.S. if not the world; its high growth. We've got tremendous people at Barstool, tremendous IP, great leadership, and have a very exciting future ahead of us.  But Ericka, feel free to jump in on any of the cultural questions or anything else that you want to address.
Erika Ayers: Sure. So, the way we think about things, we have about a hundred personalities here and when you think about Barstool sports, in some ways we're a media company and in other ways we're a collection of influencers. And when you look at our business overall, there's very, very few competitors left. Most people who play in the digital media space or the cable media space or the print media space don't exist or are faltering. And when you look at the success of our business, a lot of that is due to the fact of how we run our creative team and the freedom we give them, the tools we give them, the entrepreneurial spirit that exists inside of Barstool.  We also are a company that talks about anything and everything incessantly, right. This is a company that's authentic; it's a company that's unapologetic, it's a company that exists on the internet 24/7, and that's part of what makes Barstool Sports interesting, is that we are not particularly corporate in how we think about the culture of our content.  Now there's certain lines you don't cross, there's guardrails that exist. Those have obviously increased now that we're in a highly regulated category and we knew that going into the PENN acquisition. We knew it prior to that going into the PENN Investment, and what we really believe is that there is no place like Barstool Sports to make content. There's no platform that will give a talent or a creator a laptop, a microphone and a camera and to enable them to broadcast opinions, creative thoughts, franchises, all sorts of content, and to be able to have the promotion of Barstool Sports as well as the monetization engine underneath it. And we feel really strongly about that, that's how we built the top podcast brands in the world. That's how we built some of the most captivating creators and influencers in this country and we will continue to do that.
Operator: Our next question comes from Chad Beynon with Macquarie. Please proceed. 
Chad Beynon: Good morning! Thanks for taking my question. Just in terms of the iGaming conversation, earlier in the year it sounded like there was a lot of momentum in six or seven states, good just kind of legislative support, all at this point I believe have died. Jay, curious how you're thinking about you know what the industry learned and kind of where the conversation is, maybe the set up for next year, which would obviously be a big catalyst for Interactive and for the industry. Thanks.
A - Jay Snowden: Yeah Chad, I would say that it's obviously well covered, well documented. It looks like there's probably no movement here in 2023. There absolutely could be in 2024, it's really hard to handicap, because it does depend on a number of factors, probably well-known but not worth getting into on a year-to-year basis. I think the way we think about this is that it's only a matter of time and the states that have already legalized online sports betting, that is online gambling, and so online Casino is very likely to come. It's a question of what does that cadence look like? Is it staggered? I think once you get a state or two in the Midwest, it usually becomes an arms race for tax revenue purposes and so it'll probably start to move faster once you get to Indiana, Illinois or Iowa, it will probably start to move from there, so nothing eminent.  I'm not going to try to bring out a crystal ball and say exactly what that might look like in ‘24 or ’25. I would say that from our perspective, given the timing of our technology and product migration this summer, this is actually setting up quite well for us, because we have an inferior product today and we don't believe that's going to be the case the second half of this year and as we head into ’24. We're going to be in a position to be able to launch, standalone online Casino Apps and today it's all mixed in with what we do on the online sports betting side. And so we've got a lot in front of us that's exciting, and so the timing of legalization being maybe pushed off to ‘24, ‘25 and start to really roll from there, we think that sets up very well for PENN.
Chad Beynon: Thanks Jay. And then Erika you mentioned just the changes with Barstool now being part of a bigger and more regulated industry, bigger company, more regulated industry. Just in terms of what that could bring on the positive, more access to capital. How are you thinking about inorganic opportunities with recent valuation adjustments for high growth companies? Are there are things that maybe you decided not to do in the past couple years, just because of where your NorthStar was and kind of how you were running the company. And now that it's part of a bigger company with different goals, maybe there could be other pieces of the mediocre system that could make sense. Thanks.
Erika Ayers : Yeah, absolutely. It's a great question and it’s something I spend a lot of time thinking about. When you look at – if you look at the last six to nine months, we are putting on major scale, live sporting events with our own comedy, with our own personality, with our own commentators on those broadcasts.  We are entirely doing that, because it's of something that PENN has made possible for us. That's not something we would have been able to do prior to the investment or prior to the acquisition. And I really look at Barstool Sports as a company that can create and do most anything and PENN provides guns, money and steel for us to be able to do that. So whether that's hiring new personalities or extending into new demographics, new categories, new topics or taking on more traditional sports in terms of broadcasting events, hosting events, you name it.  So we look at a lot of that and the acquisition to exactly to your point has made much of that possible, whereas that was not something in the last six years, seven years that we would have been able to afford nor been able to execute.
Operator: Our next question comes from Ryan Sigdahl with Craig Hallum Capital. Please proceed.
Ryan Sigdahl: Good morning. I want to start, stay on Barstool. I don't think you've commented, but curious about what your thoughts were on the start in Massachusetts, 6% GGR share. They are in the first partial month, but obviously Barstool’s home state.
Jay Snowden: Yeah, happy to Ryan. Look it's interesting, because as you saw in Ohio and then again in Massachusetts, every state provides a little bit different level of granularity and what they report. There has been, I would say the launches at these states have been more promotional than they were initially in many cases. And so we have made the decision that we're not going to get into that initial launch arms race of promotional spend and have negative NGR for the first three or four months. So we’ve took a similar approach in Massachusetts.  I would expect that as things settle out, you'll see that percentage of market share continue to grow. I also think that you just have to keep in mind and this has been very strategic on our part and you have to have patients when thinking about it, but we have not been aggressive, because our product really is substandard today and we know that. And so you have to think about that as you're launching and how much money do you want to spend to get people on. And you may lose some with a bad first impression and so we have to think through all of that.  I think we've been very thoughtful and judicious in our approach for these state launches. We're able to generate positive NGR after the first month and profitability really by month three in almost every case. So that's been the approach.  I think you'll see us transition, when we have a product that we believe stands-up well to the competition. That will be more aggressive in getting some marketing dollars, dedicated towards getting new people into the ecosystem. Downloading the app, registering and depositing and engaging with us, because we feel like our retention results will be significantly higher based on the capabilities and the new promotional engine and how we'll think about the business. So I think the setup for us is actually, it’s again sort of like the iCasino question. But the setup for us on OSB is I think a good one and that there clearly is a focus amongst the top five or six players of which we’re one of. There's a clear focus on getting the profitability quickly, which means that most of those – most of the top tier are going to have to pull back significantly on their marketing and promotional expense. That's the path to getting to profitability quickly. And we're in a position with a much improved product and inability to support some additional spend to get people on to the platform and engage with us. I think that's a good setup for us as we get to the end of the year and certainly into 2024.
Todd George : Ryan, the only thing I would add. This is Todd. Is if you look at Slide 15, that's also a big part of the story for us. And looking at that growth in Massachusetts of over 14% from our traditional core product is pretty impressive and a lot of that is new to our brand and new to the property and it's very much driven by the new Sportsbook offerings.
Ryan Sigdahl: Then just a quick clarification for my follow-up. 2.4 million shares issued to Barstool within the diluted share account. I guess is that stock options or was that part of the purchase price of the company and if it's the latter, was that the company's decision or was that the Barstool owners decision to take part stock, part cash. Thanks.
Felicia Hendrix: Yeah, so Ryan if you go back and we've kind of put this out in our financial, in our Ks and our Qs over time. We had the put call options. It was also an option on the part of PENN to – in terms of the mix of cash and stock. 
Jay Snowden: So it mirrored the initial award Ryan. Remember the ownership group structure, the Chernin Group was the majority owner and that was all cash, and then for those who were owners from Barstool, Founder David Portnoy, Erika, Dan and a number of others who had equity in Barstool they received 55% consideration was PENN stock and 45% consideration was cash, and so when we moved from 36% owners to 100%, the consideration was the same breakdown.
Operator: Our next question comes from Bernie McTernan with Needham & Company. Please proceed.
Bernie McTernan: Good morning. Thanks for taking my questions. Maybe to start, Jay you talked a lot about retention capabilities that will be coming, that you don't have access to now. Once you have your own tech stack in the U.S., can you just talk about some of those, whether it's like the ability to segment customers, if it's certain product capabilities? Basically just trying to get at what's driving the better retention on Ontario versus the U.S. currently.
Todd George: Hey Bernie, this is Todd. I'm happy to share some of that. So basically everything you just said is what we're focused on and what we're seeing in Ontario is not only three months, but going out to six months. It's the ability to kind of personalize and tailor the messaging and the reinvestment levels will be a tremendous help to us where we don't have an easy way to do that now. It's much more of a manual process.  So it'll bring more automation to the process, allow us to be much more nimble and really allows us to do a lot better promotions. But traditionally that reinvestment that you would see with a gaming customer, we are excited to have that capability post migration.
Jay Snowden: I mean to Todd's point, think about what we've been able to do to-date on third party platforms is really more shotgun style marketing, not personalized really at all. So we do a promotion, it's kind of a promotion for all. That's not an effective approach from a CRM perspective. You're under reinvesting in some customers, over reinvesting in some and so we'll be able to tailor the reinvestment and the promotions based on what we know about the user.  And you know a lot of our competition, they are there, on their way there, and we're doing it in Ontario and we're looking forward to being able to bring that level of personalization in our marketing efforts and a new promotional engine here to the U.S. here soon.
Bernie McTernan: Great! And then just a follow up for Barstool. Erika, would you possibly get a breakdown of Barstool revenue just advertising verse e-commerce. I know we got the mixed pre-pandemic, but I'm sure it's been shifting since then.
Jay Snowden: Hey, I would just add. Erika, I don't think we're ready to provide that level of detail. 
Erika Ayers : Yeah.
A - Jay Snowden: I think Bernie, we might do that down the road, but I think it's too early and we're trying to keep the results within the Interactive at a pretty high level. So I would say more to come. As you would imagine advertising is the biggest driver, but we're not going to get into exact breakdowns on the revenue mix today.
Bernie McTernan: Fair enough. Thank you all.
Jay Snowden: Thanks Bernie.
Operator: Our last question comes from John DeCree with CBRE. Please proceed.
John DeCree : Hi! Good morning, everyone. Thank you for taking my question. Maybe just one to round it out. On brand strategy, it's pretty early still, but are there other thoughts or plans, especially in light of the new loyalty program to integrate some of your brands or with the idea to be to kind of continue to run a multi brand strategy. And I guess the question maybe specifically for the media properties Barstool and theScore, if there's some ideas and kind of cross pollinating, but also more broadly across Hollywood or any of the other retail brands.
Jay Snowden: Yeah, Todd I’ll let you jump on that one from a PENN Play launch perspective and how we're thinking about sort of enhanced features and how we're thinking about the PENN Entertainment brand umbrella and everything that fits underneath it.
Todd George : Thanks Jay. And John really the PENN Play, moving from mychoice to PENN Play was a huge step for us as we worked to try to create that brand loyalty and allow people to kind of play across the different channels we have.  So when you start thinking about what we've been able to add and it's really listening to what the consumers want and making sure that we can integrate technology where appropriate, as well as make it very seamless for them. So kind of a host for all approach where we have different options that we can create through technology. A more seamless experience where people can start engaging with us long before they come to a property or start engaging in wagering or gaming activity.  Improvements in our app, improvements in our cashless technology, sharing information, being transparent with our rewards statements, offering greater flexibility with unified currency, the PENN Cash option and then eventually having one wallet to play across not only online but taking that into one of our properties, and then really that increased awareness that we have. And I think you can look to a lot of hotel companies that are out there that may have multiple brands in the portfolio, but they are all tied to the major flag, whether that's a held in a Hyatt or Marriott.  So we'll have, we’ll continue to have different brands, because they really have a lot of value in the specific markets that we're in, but we'll make sure that people understand that it's part of the broader PENN family.
John DeCree : Great! The hotel analogy is perfect. Thank you.
Todd George : Thanks. 
Jay Snowden : Thanks John and thank you all for dialing in this morning and we look forward to speaking with you again next quarter. Have a good one! 
Operator: That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line. Have a great day everyone!